Operator: Welcome to Hayward Holdings First Quarter 2025 Earnings Call. My name is Christine, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kevin Maczka, Vice President, Investor Relation and FP&A. Mr. Maczka, you may begin.
Kevin Maczka: Thank you, and good morning, everyone. We issued our first quarter 2025 earnings press release this morning, which has been posted to the Investor Relations section of our website at investor.hayward.com. There, you can also find an earnings slide presentation that we will reference during this call. I'm joined today by Kevin Holleran, President and Chief Executive Officer; and Eifion Jones, Senior Vice President and Chief Financial Officer. Before we begin, I would like to remind everyone that during this call, the company may make certain statements that are considered forward-looking in nature, including management's outlook for 2025 and future periods. Such statements are subject to a variety of risks and uncertainties, including those discussed in our most recent Form 10-K filed with the Securities and Exchange Commission that could cause actual results to differ materially. The company does not undertake any duty to update such forward-looking statements. Additionally, during today's call, the company will discuss non-GAAP measures. Reconciliations of historical non-GAAP measures discussed on this call to the comparable GAAP measures can be found in our earnings release and the appendix to the slide presentation. All comparisons will be made on a year-over-year basis, unless otherwise indicated. I will now turn the call over to Kevin Holleran.
Kevin Holleran: Thank you, Kevin, and good morning, everyone. It's my pleasure to welcome all of you to Hayward's first quarter earnings call. I'll begin on Slide 4 of our earnings presentation with today's key messages. I'm pleased to report first quarter results exceeded expectations. Net sales increased 8% with growth across both segments, North America and Europe and Rest of World, and positive contributions from volume and price. We delivered solid profitability in our seasonally softest quarter with gross profit margins increasing to 49.5% and adjusted EBITDA margins increasing to 21.5%. This represents the ninth consecutive quarter of year-over-year gross margin expansion. Robust sales growth and profitability, coupled with effective working capital management enabled us to maintain net leverage within our targeted range at 2.8x while funding our growth strategies and launching innovative new products. We're especially excited about the recent launch of OmniX, an industry-first suite of innovative products for the aftermarket. The OmniX automation platform is easily deployed in the installed base, providing tremendous opportunity to unlock the addressable aftermarket of millions of nonautomated pools to wireless IoT connectivity and control. I'll provide more commentary on this differentiated new solution for pool owners in a moment. During this period of increased tariffs and heightened global economic uncertainty, we are aggressively executing our plans to mitigate the impact of tariffs, support margins and position the company for continued growth while supporting our customers. Our team is rising to the occasion, and I'm very proud and appreciative of their efforts. We have a resilient business model with over 80% of our sales aligned with serving the aftermarket needs of the existing installed base and a strong balance sheet, providing financial flexibility. I'm confident in our ability to navigate this rapidly evolving environment. That said, we are confirming our guidance for the full year 2025, reflecting the implications of the current tariff environment and execution of mitigation action plans. We continue to expect net sales to increase approximately 1% to 5% and adjusted EBITDA of $280 million to $290 million. This guidance is unchanged, but many of the underlying assumptions certainly have, and Eifion will detail this for you. Turning now to Slide 5, highlighting the results of the first quarter. Net sales increased 8% to $229 million, driven by 3% increases in both price and organic volume, plus a 3% contribution from the ChlorKing acquisition. Sales growth was solid and consistent across both segments, with net sales increasing 8% in North America and 7% in Europe and Rest of World. Trends improved in March after a slower start to the year with end demand for Hayward product now generally consistent with normal seasonal trends as we approach the peak pool season. During the quarter, we saw solid growth in critical product categories of pumps, lighting, automation and sanitization. In addition, our commercial pool business continues to grow organically and benefit from the integration of the ChlorKing acquisition. As we all know, the economic outlook has become increasingly uncertain, but the majority of our business is resilient and tied to nondiscretionary aftermarket maintenance. The more discretionary elements of the market, new construction and remodel have been impacted by these economic conditions and higher interest rates as we expected entering the year. Gross profit margins increased 30 basis points to 49.5%. Adjusted EBITDA increased 9% to $49 million, and adjusted EBITDA margin also increased 30 basis points to 21.5%. We continue investing in the business to drive future growth. On the commercial side, we are executing targeted sales and marketing strategies to further increase our presence in high-growth regions and capture market share. We are increasing investments in customer care, leveraging new technologies and tools to enhance customer experience. Following the successful launch of the first Hayward Hub training and support facility in Texas, we added additional hub locations in Arizona and North Carolina to better support our dealers and trade professionals in the regions. On the product side, we are introducing a dedicated advanced engineering and innovation team to accelerate the development of new technology products. Finally, adjusted diluted EPS increased 25% to $0.10. Turning now to Slide 6 for an update on tariffs. Tariffs have, of course, been front page news for many weeks now, and the global trade situation continues to evolve. As a reminder, we are predominantly a domestic manufacturer with approximately 85% of our North America sales produced in North America. However, we do source certain products from our Hayward facility in China and other third-party suppliers in China that are impacted by the more significant incremental tariff of 145%. Based on the latest information available, we estimate a total annualized tariff impact of approximately $85 million, with a partial year impact in 2025 of approximately $30 million, mostly related to China. Our planning assumption is that the current tariff rates remain in place. As such, we are aggressively executing mitigation action plans, including cost and supply chain initiatives plus other pricing actions. We are working to establish increased certainty in our supply chain rather than having to respond to geopolitical uncertainty. On the cost side, we're accelerating cost reduction and productivity initiatives and actioning structural supply chain alternatives. As a result, we expect our direct sourcing from China into the U.S. as a percentage of cost of goods sold to decline from approximately 10% to 3% by year-end. At this point, we expect our mitigation plans to fully offset the expected tariff-related cost increases and volume pressures. On the pricing side, we announced a 3% price increase in North America effective in late April and more recently announced another increase of 4% effective mid-June. We will continue evaluating the need for additional pricing action and managing channel inventory appropriately by limiting preorders ahead of the price increases. Our teams are working very diligently to support our customers while protecting profitability. Turning to Slide 7. For many years, Hayward has been a leader in IoT controls with our OmniLogic pool automation platform for the new construction and remodel markets in the U.S. We are now excited to announce OmniX, our breakthrough smart IoT technology designed to cost effectively enable wireless control of the existing installed base. We estimate approximately 2/3 of the 5.4 million in-ground pools in the U.S. or 3.5 million pools are currently not automated. Today, homeowners with an existing manually operated pool interested in IoT control are faced with just one option, the installation of a centralized control unit wired to all of the equipment. OmniX, on the other hand, is a decentralized wireless platform, eliminating the need for a stand-alone control unit. By design, it provides a far more cost-effective, simpler path to automation. Starting with our newly launched OmniX variable speed pump, we are embedding control capabilities into our key products. At the time of natural break fix of equipment on the pool pad, homeowners can build their ecosystem one product at a time by replacing with OmniX-enabled equipment. As they do, they can utilize the OmniX app to effortlessly control their pool. This represents a great value proposition for both the homeowner as well as our service professionals now able to offer compelling, easily installed upgrade. With that, I'd like to turn the call over to Eifion to discuss our financial results in more detail.
Eifion Jones: Thank you, Kevin, and good morning. I'll start on Slide 8. As Kevin stated, we are pleased with our first quarter financial performance. Net sales increased and exceeded expectations. We delivered strong margins and maintained net leverage within our targeted range during our seasonally softest period for sales and cash collections. Looking at the results in more detail. Net sales for the first quarter increased 8% to $229 million. This was driven by 3% positive net price realization, a 3% increase in volume and a 3% contribution from the acquisition of ChlorKing, partially offset by 1% from foreign currency translation. Gross profit in the first quarter increased 8% to $113 million. Gross profit margin increased 30 basis points to 49.5%, with a 100 basis point increase in North America, offsetting a reduction in Europe and Rest of World. We took steps throughout 2024 to improve the performance in Europe and Rest of World and are pleased to see the sequential margin progress in the quarter, increasing 360 basis points from the fourth quarter 2024. Adjusted EBITDA increased 9% to $49 million in the first quarter, and adjusted EBITDA margin increased 30 basis points to 21.5%. As a reminder, we are strategically reinvesting in the business to drive future growth with targeted initiatives in sales and marketing, customer service and engineering. Our effective tax rate was 23% in the first quarter, consistent with the prior year period. Adjusted diluted EPS increased 25% to $0.10. Turning to Slide 9 for a review of our reportable segment results for the first quarter. North America net sales increased 8% to $187 million, driven by 3% net price realization, 2% higher volume and 3% from the ChlorKing acquisition. Net sales increased 9% in the U.S. and reduced 5% in Canada. Seasonal demand is increasing as expected as we approach the peak of the 2025 pool season. We did see an increase in orders late in the quarter after a slower start to the year. Importantly, we are working closely with our channel partners to manage the level of Hayward inventory on hand relative to current demand levels and forward expectations. Gross profit margin increased 100 basis points to a robust 52.8% and adjusted segment income margin also increased 100 basis points to 27.1%. Turning to Europe and Rest of World. Net sales for the quarter increased 7% to $42 million. Net sales benefited from 1% favorable net pricing and 8% higher volume, partially offset by 2% from foreign currency translation. Net sales increased 8% in Europe and 3% in Rest of World. We are pleased to see the volume growth and margin progression in the quarter. On a sequential basis, gross profit margins increased 360 basis points to 35% and adjusted segment income margins increased 380 basis points to 16.6%. Turning to Slide 10 for a review of our balance sheet and cash flow highlights. We are pleased with the quality of our balance sheet. Net debt to adjusted EBITDA improved significantly from 4x a year ago to 2.8x at the end of the first quarter, consistent with our targeted range of 2 to 3x. Total liquidity at the end of the first quarter was $398 million, including $181 million in cash and cash equivalents plus availability under our credit facilities of $217 million. We have no near-term maturities on our debt. The term debt matures in 2028 and the undrawn ABL matures in 2026, and we're in the process of extending this maturity. Our borrowing rate benefits from $600 million in debt currently tied to fixed interest rate swap agreements maturing in 2025 through 2028, limiting our cash interest rate on the term facilities to 5.8% in the quarter. Our average interest rate earned on global cash deposits for the first quarter 4.2%. The business has strong free cash characteristics driven by high-quality earnings. Cash flows are seasonal and the company typically uses cash in the first quarter and has strong cash generation in the second quarter related to the collection of early buy receivables. Cash flow used in operations was $6 million in the first quarter compared to $77 million in the year ago period. The first quarter 2025 benefited $99 million in net proceeds from the sales of accounts receivable under the receivable purchase agreement initiated in 2024. This receivable sale provides the business additional flexibility during a traditionally low cash quarter at a relatively modest cost and reduces the risk of a step-up in the term loan interest rate as a common unit penalized in the first quarter, consistent with the prior year and consequently, free cash flow was a use of $12 million. Turning now to capital allocation on Slide 11. We maintain a disciplined and balanced approach to capital allocation, emphasizing strategic growth investments and shareholder returns while maintaining prudent financial leverage. We continue to pursue additional acquisition opportunities to augment our organic growth plans in addition to opportunistic share repurchases. Turning now to Slide 12. for our full year 2025 outlook. Many of our planning assumptions have changed from a quarter ago as a consequence of the evolving tariff environment. But overall, our outlook for the year is unchanged. This is a testament to the hard work and dedication of the entire Hayward team. For fiscal year 2025, Hayward continues to expect net sales to increase approximately 1% to 5% to $1.06 billion to $1.1 billion and adjusted EBITDA of $280 million to $290 million. We continue to expect solid execution across the organization, positive price realization and continued technology adoption. We expect incremental out-of-cycle pricing of approximately 3% to offset the tariff-related inflation. As a result, we now anticipate a positive net price contribution of approximately 5% to 6%. We're also taking a more pragmatic view of volumes given the heightened global macroeconomic uncertainty. Nondiscretionary aftermarket maintenance remains resilient, but we could see pressure on the more discretionary elements of the market, namely new construction, remodel and upgrade. We are executing structural cost and productivity initiatives to offset volume pressure and support profitability. We continue to evaluate the situation and we'll respond with appropriate supply chain and pricing actions as needed. Our business is seasonal. We expect normal seasonal strength in the second and fourth quarters with more weighting to the second half of the year due to the timing of the out-of-cycle tariff price increases. We also expect solid cash flow generation in 2025 with a conversion of greater than 100% of net income at approximately $150 million. We are confident in our ability to successfully execute in a dynamic environment and remain very positive about the long-term growth outlook for the pool industry, particularly the strength of the aftermarket. And with that, I'll now turn the call back to Kevin.
Kevin Holleran: Thanks, Eifion. I'll pick back up on Slide 13. Before we close, let me reiterate how thankful I am for the team's performance during this incredibly disruptive time. In one of the more challenging and uncertain environments we've seen in decades, Hayward delivered another strong quarter, exceeding expectations. Net sales increased 8%, margins continue to expand, and we elivered the balance sheet while investing for growth and introducing a groundbreaking new technology platform for pool owners. We confirmed our guidance for the full year, effectively countermeasuring significant new tariff headwinds. As I mentioned, I'm very proud of the entire team for their performance during this quarter and the rapid and effective execution of our mitigation plans. Hayward has a solid foundation built over the last 100 years, and I'm confident we have the right strategy and talent in place to drive compelling financial results and shareholder value creation. With that, we're now ready to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Carter with Stifel.
Andrew Carter: Kind of two parts as I kind of close the loop on tariffs for me. USMCA, you mentioned you don't think it changes. I assume you're talking about what you have in kind of the U.S. that goes in Canada that's not affected. And then the second part of the question, just getting into kind of the actions you're taking. You mentioned China going 10% to 3%. Could you talk more about those mitigation actions? Are there costs to it? I noticed free cash flow guidance went down a little bit and then the second -- if you're going to end at 3% and I assume you plan to leave these prices in place, is that a gross margin tailwind or where you're going, have higher operating where net-net, it'd be neutral to where you would have been before Liberation Day?
Kevin Holleran: Sure. Let me Andrew. Regarding the tariffs, the mitigation, as we said, we're seeing on an annualized basis about $85 million. That's the result primarily of China-based product. We have a facility over there bringing finished goods into the U.S. And then, of course, we have some Tier 1 and Tier 2 suppliers. And then thirdly, which is a much smaller element of the $85 million would be material coming from other tariff impacted countries. You mentioned Mexico. At this point, because of USMCA, we do have product, not finished goods, but we do have material feeding our factories in the U.S. out of Mexico, but that's not really an element of this $85 million based upon the assumption that will continue to qualify for exemption there. As I look at our -- as our global manufacturing footprint, we have 7 facilities, 4 of which are in the U.S., 1 in China. And as I said in the prepared remarks, 85% of that product sold in the U.S. is made in 1 of those 4 U.S. factories. As we work through our mitigations, that will increase to something north of 90% as we resource and move some of the manufacturing into those 4 U.S. facilities. We really are trying to get front-footed here and proactively managing the situation, working to increase certainty in our supply chain rather than having to respond to all the uncertainty created by this -- by the policies and the geopolitical events right now. I'll point out that we've really been working on this for several years in terms of trying to limit our exposure to China sourcing long before the tariff announcements over the last several weeks. That included transferring and even duplicating some tooling that was in our China facility into the U.S. and bringing some value-added assembly out of China into our domestic facilities at the same time, prioritizing capital investments to automate -- further automate some of these domestic locations. As you point out, it's really going to move us from what was even a high-teen reliance on China, probably 5 years ago to something more around the 10% mark today to a low single digit by year-end when the mitigations work through the system. So that's really our first, I'd say, prong of a 4-pronged mitigation strategy around structural sourcing alternatives. Augmenting that is really supplier price renegotiations with China-based suppliers and other tariff-impacted countries. Inventory management, we did prebuy some inventory, which allowed us to minimize the impact here in 2025. And then finally, pricing. We take out-of-cycle price increases very seriously, and we're very thoughtful about them, and that became necessary given the magnitude and the immediacy of the tariff increases. Do you want to talk about some of that?
Eifion Jones: Yes. Andrew, let me just tackle the first point around cash flow. Cash flow, we have dropped from $160 million to $150 million guidance for the year. You're right, that does include some CapEx to tool up inside the U.S. to accommodate the transfer of production out of our Wuxi facility back into the United States. Additionally, we're recognizing that the closing working capital at the end of the year will actually be a little bit more expensive for that residual 3%-ish that Kevin was suggesting there that we will still be procuring from China. But still a very handsome cash result, significantly higher than net income.
Andrew Carter: And then you said you were being thoughtful. So as far as the price increases go, I assume they are targeted towards the affected products? Or is it a broad line increase? And then you did mention managing kind of the managing prebuys. Are you managing like the prebuys tighter than a typical prebuy? And then if you are, I mean, do you see -- is there any extra headwind implied in gross margin from like a potential disconnect of somebody buying out ahead of the increase and then reducing it later?
Kevin Holleran: Yes. In terms of pricing, we did -- I mean, there'll be some variation when final price lists on our most recent announcement are distributed. But by and large, it's more across the line as opposed to just targeting those specific SKUs that are manufactured or most impacted. Those increases would effectively more or less take out of the market on some of those products, and we take full line -- being a full-line supplier very seriously. So there's some sharing across the entirety of the product line. I forgot the second part of the question was.
Eifion Jones: Pricing pre-buy.
Kevin Holleran: Around pre-buy. We -- I would say we probably are a little tighter in terms of the cap that we put out there right now. I mean what we normally put out there for the early buy or the winter stocking program has a little bit more flex upwards to it. At this point in time, given the time of year when these price increases take effect, early buy has been delivered. As we work with our channel partners, their inventories and days on hand are appropriate and well suited for where we are in the season. So we're just really trying to protect all of us from overstocking here and then having to deal with the pain of a destock later on. We're really just trying to match sales out with the replenishment. The replenishment in on par with what the sales out is and that's really what's driving sort of the cap that we've announced to the channel partners.
Operator: Our next question comes from the line of Saree Boroditsky with Jefferies.
Saree Boroditsky: Maybe just building on that, I did think one of the larger pool distributors talked about increasing inventory levels. So just maybe quickly talk about how channel inventory looks today and then how that impacts demand as you go through the rest of the year?
Kevin Holleran: Yes. I mean the information we see broadly across our channel partners is we feel really good about where the days on hand are for where we're at in the season. Obviously, late April here, all markets as we work through the Easter weekend, that really ushers in the season in the more seasonal markets, for. So what we see is we're very pleased with where we're at. We've spoken about this on previous earnings calls that the destock and the recalibration of the inventory levels, that's been accomplished in prior periods. Early buy has been delivered through first quarter. And we feel that inventories are appropriately -- are appropriate at this point in time.
Saree Boroditsky: I appreciate the color. And then maybe just a bigger picture, pool equipment has obviously gotten significantly more expensive over the last several years. I know equipment is still a small portion of the new pool build, but how are you thinking about balancing price and demand levels given the recent increases? And have you seen any customers trading down or repairing or replacing equipment?
Kevin Holleran: Yes. Great question and something we keep our eyes peeled on. I would say -- I think the first part of your question was really asking, has there been demand destruction with just the overall project cost. What we debate is deferral versus destruction at this point in time because of the housing market, the turnover not being what it has been historically. I think some of those larger refurbishment or even building the pool at a new house that you bought, I think that's being delayed a bit as existing home sales have struggled the last couple of years. So we see it a bit more as a deferral around some of that discretionary spend as opposed to destruction. In terms of trading down, our guide is really trying to take that into account. We think it could happen. We don't have strong evidence of that happening. As we look at permit values, we've spoken about this in the past. While the unit count on permits the last couple of years have been down, the value of those permits have actually continued to climb, which would indicate that people who are building or doing the full-scale remodels are doing it right, and they're putting the features and the functionality on the pool as they want it. However, again, with a couple more equipment increases rolling through the system here in the channel here in 2025, we're trying to take a pragmatic approach and protect against that if it were to happen as the year progresses.
Operator: Our next question comes from the line of Jeff Hammond with KeyBanc.
David Tarantino: This is David Tarantino on for Jeff. I know it's early, but maybe could you give us some color on recent trends to start the selling season, particularly around if you've heard any feedback from dealers around shifts in consumer behavior following Liberation Day and the pricing actions?
Kevin Holleran: Yes. Q1, I would say, you may have heard this from some others who reported before us. The year started a bit slowly. I think weather may have played into that a bit in January into maybe middle of February or so. But March, as it turned out, was a really strong sales out month across the entire network. So that gave us some real optimism as the weather started improving, David. I would say what we've seen in April, I'm not going to go too deep into that. I'd say what we've seen is contemplated in our confirming of the guide that we announced here this morning. So again, weather is improving. Easter is behind us. Pools are opening in all markets at this point, and we feel that it's going to be a good season. And that's being affirmed by the dealers that we talk to every day. I think that we do have, as I mentioned in the prepared remarks, I think we have really some wind at our back with the recent introduction of this OmniX platform, which we've talked about it for years, and this is a great product that really gives the service trade and the existing pool owner who doesn't have automation or control the opportunity to take more control of that backyard and the functionality of it. So we're very bullish on what OmniX represents for us and for the industry as we work through the 2025 pool season.
David Tarantino: Great. And then maybe as a follow-up, just on the margin bridge on Slide 12. Could you walk us through the cost levers you're pulling kind of outside of price and reducing the China exposure to offset tariffs. Margin growth has been pretty impressive in recent years. So any color on the opportunities still out there would be helpful.
Eifion Jones: Yes, sure. We've talked about this before. We have outside of China, 6 facilities, 3 large ones in the United States, a small one through acquisition. We can continue to variabilize the input of production into those facilities rather than having to add fixed costs. So that's the first lever that we can do, leveraging those facilities on a variable nature. The second thing is we're very honed in right now on our SKU rationalization programs, our bill of material and value engineering initiatives and looking at that collective to really hone in on the cost of manufacturing and how do we make it smarter, how do we make it less expensive as it goes through our production facilities without compromising quality, of course. And so those initiatives are in play today. As we onboard tooling into the United States, to take on the current either outsourced or in-sourced China manufacturing. We'll do that, we believe, in an intelligent way and take the opportunity to put automation into our facilities to make that new addition of production in a very cost-effective way.
Operator: Our next question comes from the line of Rafe Jadrosich with Bank of America Merrill Lynch.
Sean Colman : This is actually Sean Colman on for Rafe. Just first, the midpoint of guidance implies it looks like a mid-single-digit to high single-digit decline in volumes for the rest of the year. So could you give us some more detail on the drivers in terms of maintenance volume, discretionary volume? And then anything around trade down and destock assumptions?
Eifion Jones: Yes. Yes, I mean, in terms of our guidance, the way it bridges out, we are calling for a further reduction in the discretionary side of the market, namely new construction remodels and upgrade. I think that's, as Kevin said, using his word, a pragmatic approach given where the macro situation is right now. Obviously, new construction, we see the permit data, that's trending down even though the ticket value has gone up. In terms of the remodel and the upgrading, as Kevin just mentioned, we don't see that as destruction. We see that as a push sideways as the consumer defers those elements. We know that existing home sale turnover creates acceleration in remodels, whether it be the homeowner just before they sell tuning up or whether it be the new homeowner after purchase does some remodeling. So we're still waiting here for this existing home resale market to get some acceleration behind it. But as a consequence of where the macro situation stands today, we think it's pragmatic to take down that discretionary side of the marketplace. We don't believe individuals are foregoing the critical elements of the pool. You need that pool engine. That's the beauty of our industry. And if you're an existing pool owner, you have to maintain that pool. So that is a robust element. So the maintenance side of the business is very resilient.
Kevin Holleran: Sean, I would just add in terms of 50-plus percent amount of our revenue from the brake fix aftermarket nondiscretionary side, where we're thinking volume will hold year-on-year, we have accounted for a little bit of a mix down trade down in the current guide that we confirmed here today.
Sean Colman: Got it. That's very helpful. And then just kind of following up on that trade down. So you guys in the industry have really benefited from the adoption of automation. Do you think these additional price increases can limit that adoption? And then any color you have on early trends with OmniX sales would be helpful.
Kevin Holleran: I would say I think OmniX is the answer to both parts of your question, Sean. I -- the initial load-in with the channel and some of the early pull-through with the dealers has been encouraging for us. And I would say in terms of automation, OmniX brings a lot of things, as I spoke about in the prepared remarks, but it really does allow you to build your ecosystem one at a time as you -- as natural break fix occurs. We don't have the entire product line introduced yet. That will be phased over the next several quarters, but it's a much more cost-effective way for any homeowner, whether you're building new, whether you're refurbishing or whether you're wanting to upgrade a 20-year pool that didn't have any automation or controls, it can be done in a much more efficient, cost-effective manner, which I believe will mitigate some of the concerns you raised in your question about the overarching price to bring that control and automation to the pool owners palm of their hand.
Operator: Our next question comes from the line of Brian Lee with Goldman Sachs.
Nick Cash: This is Nick from Brian Lee. Just a quick one. I think last year around this time, we were talking about utilization rates. I think you guys are running around 60% or 65% utilization in your factories, which was expected to bring some decent operating leverage in the outer years when volume returns. But just wondering on if you're going to bring more manufacturing to the U.S. to mitigate tariffs and those additional costs, I would assume is this going to increase some of your U.S. manufacturing utilization? And could this help margins? And is any of that uplift like included in the mitigation efforts or we could see, I guess, additional upside from there? I know you talked about variabilizing these facilities, but just wondering if there is any additional leverage embedded there.
Kevin Holleran: Yes, it's a great question. You're right. Today, we're probably around about 60% utilized in our U.S. facilities that provides us with a large amount of capacity to onboard this production coming out of China or in-sourcing from third parties in China. Kevin mentioned, we're probably 10% today coming out of China, whether it be a combination of outsource and our own facility, that's reducing to an exit rate out of 25% to 3%. So that 7% comes into the U.S. facilities, which raises from 60% to high 60s utilization. So still quite a lot of headroom. As I mentioned a few questions ago, we're going to take the opportunity in that transfer of production to look at how to do that intelligently, smartly in a more automated way. So we'll get the leverage across the fixed cost base, but I'm hoping as well now and believe in the team that they'll actually be able to get a 2 for 1 here, get the leverage and get a bill of material reduction as we put some automation into our facilities.
Operator: We have reached the end of the question-and-answer session. Mr. Holleran, I would now like to turn the floor back over to you for closing comments.
Kevin Holleran: Thanks, Christine. In closing, I'd like to sincerely thank our dedicated employees and valued partners around the world. Your hard work, passion and unwavering commitment are the driving force behind our success. Please contact our team if you have any follow-up questions, and we look forward to talking to you again on the second quarter earnings call. Thank you for your interest in Hayward. Christine, you can now end the call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.